Operator: Good afternoon, and thank you for standing by. Welcome to Grove Collaborative Holdings, Inc.'s First Quarter 2025 Earnings Conference Call. At this time, all lines have been placed on mute to prevent any background noise. Following the Speaker's remarks, we will open up your lines for questions. As a reminder, this conference call is being recorded. Hosting today's call are Grove's CEO, Jeff Yurcisin; and Interim CFO, Tom Siragusa. Before they begin their prepared remarks, I will review the forward-looking statements, safe harbor. Some of the statements made today about future prospects, financial results, business strategies, industry trends and Grove's ability to successfully respond to business risks may be considered forward-looking, including statements relating to revenue and profitability expectations, expansion of product assortment and future improvements in net revenue per order and order frequency, the first quarter of 2025 being the lowest revenue quarter of 2025 and going forward, revenue improving through the second and third quarters of 2025, fourth quarter 2025 revenue growth -- 2025 revenue declining approximately mid-single-digit to low double-digit percentage points year-over-year, 2025 adjusted EBITDA being negative low single-digit to positive low single-digit millions, the projected impact on the eCommerce platform transition, expectations regarding the impact of tariffs and our ability to offset tariff impacts. Such statements are based on current expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including those risks discussed in Grove's filings with the Securities and Exchange Commission. All of these statements are based on Grove's views today, and Grove assumes no obligation to update any forward-looking statement, whether as a result of new information, future events or otherwise, except as may be required under applicable security laws. For more information, please refer to the risk factors discussed in Grove's most recent filings with the SEC, which are available on Grove's Investor Relations website at investors.grove.co. During today's call, Grove will also discuss certain non-GAAP financial measures, which adjusted GAAP results to eliminate the impact of certain items. You will find additional information regarding these non-GAAP financial measures and a reconciliation of these non-GAAP items to the most directly comparable GAAP financial measures in Grove's earnings release, which is also available on Grove's Investor Relations website. I would now like to turn the call over to Jeff Yurcisin to begin.
Jeff Yurcisin: Thank you, operator. Good afternoon, everyone, and thank you for joining us today. Our strategy is centered on creating the best possible experience for the 57 million conscientious consumers who are actively seeking a trusted partner to help them make healthier, more sustainable choices for their families and the planet. We're building Grove into a destination defined by trust, high standards, sustainability and personal wellness. And we believe this clear point of differentiation will drive long-term customer loyalty and profitable growth. We are still in the middle of our transformation. And while we are disappointed with the first quarter results that we will discuss today, we are encouraged by the internal progress we've seen in recent weeks, including stronger first-order conversion rates and order economics. As I've shared in previous, we remain focused on four strategic pillars: one, sustained profitability; two, balance sheet strength; three, revenue growth; and four, environmental and human health. These priorities continue to guide our decisions, align our teams and drive measurable progress toward building a stronger, more resilient company. Before we dive into the pillars, I want to address two important topics: our eCommerce platform migration and the evolving tariff landscape. In early March, we executed the migration of our eCommerce platform, which we announced in August of '24. This move represents a foundational shift in which we transition from internally built technology to scalable industry-leading platforms supported by external partners. These new systems provide enhanced flexibility, faster development cycles and a stronger infrastructure for future growth. In the weeks following launch, order conversion and volume were negatively impacted. We estimate the migration resulted in a $2 million to $3 million revenue impact in Q1 based on a comparison of pre- and post-launch order volume and revenue per order. The impact of this disruption, along with its potential downstream effects on customer retention has been factored into our revised full year guidance, which Tom will cover shortly. We are actively implementing win-back strategies to reengage affected customers and rebuild trust due to the outages. As of today, we have addressed the most critical issues identified, and our team is now focused on improving the overall customer experience, including enhancing navigation for discovery, embedding content into the shopping experience, fine-tuning merchandising and rolling out new features that elevate site performance and engagement. Importantly, this new platform enables capabilities we previously didn't have, such as faster deployment of customized landing pages, more flexible promotional strategies and new customer acquisition offers beyond our historical free-gift model. These tools are important to our driving scalable growth and deeper customer engagement in the quarters ahead. Despite the challenges we experienced, we still firmly believe that this transition was the right decision for our business. We are excited for the expanded capabilities it will provide us. Turning to tariffs. Like many in the consumer goods space, we're navigating a macroeconomic environment with newly implemented tariffs. We've taken several steps to protect both our margins and our customers, including targeted pricing adjustments on the most impacted items, renegotiations with suppliers and a strategic review of our sourcing across China, Mexico, Canada and the U.S. For some products like our bamboo paper products, we are evaluating sourcing alternatives outside of China, where China produces the majority of the world's bamboo. Our teams are actively exploring diversified sourcing strategies and monitoring policy developments closely. While there is still uncertainty around how these tariffs will evolve, we believe our mitigation efforts will position us to adapt quickly. With that, let's move into the strategic pillars at the core of our transformation, starting with our first pillar, sustained profitability. Adjusted EBITDA for the first quarter was a negative $1.6 million or a margin of negative 3.7%. This reflects the seasonal softness typical of Q1 as well as the impact of our eCommerce platform disruption. We remain committed to strengthening our underlying cost structure and driving operating efficiencies across the business. As we stabilize our eCommerce platform and scale new revenue initiatives, we expect profitability to improve. We continue to take deliberate actions to position Grove for long-term sustainable margin expansion. This includes a reduction in technology headcount in the first quarter following our platform transition as well as a heightened focus on advertising efficiency and first-order economics to drive healthy, sustainable customer acquisition. These changes are showing early signs of positive impact and set a stronger foundation as we look ahead to the rest of the year. Next, we move to our second pillar, balance sheet strength. Following the end of the quarter, we amended our asset-based loan facility, extending its maturity to April 2028, among other changes. Tom will share more details later on. Our third pillar is revenue growth. The first quarter of 2025 delivered $43.5 million of revenue, down 18.7% year-over-year and below the fourth quarter of 2024. Despite the decline, we made progress on several key growth drivers. We're seeing early gains from our refined messaging and media strategy. Our expanded tagline, Your home, healthier is resonating with customers, and we're leaning into creative that showcases Grove's differentiated value across home care, personal care, wellness and more. We also enhanced the shopping experience with more guided inspirational content and launched a new customer offer that positions Grove as the go-to destination for a broader range of home and lifestyle needs, building beyond our heritage in home cleaning. In addition, as previously announced, we completed the asset acquisitions of existing third-party brand, Grab Green as well as wellness brand, 8Greens. We are still integrating the brands into our operations, but we have migrated our customers to the Grove website and are beginning to advertise these brands to our existing customers. We also significantly expanded our third-party assortment, growing the number of brands offered by 41% year-over-year and individual products by 54%. New additions include well-known names like billie, Cocofloss, Hydro Flask, Solaray, The Neighborgoods and The Unscented Company. Throughout 2025, we plan to continue expanding our assortment, particularly in clean beauty, personal care, kitchen and pantry, baby and wellness, which we expect will drive improvements to both net revenue per order and order frequency. Our fourth and final pillar is environmental and human health. We continue to lead with our mission. Our focus on sustainability and personal health is resonating with customers and guiding our strategy. This is what differentiates us. We've rolled out new educational content to help consumers make healthier, more sustainable choices, including our new blog, Home Planet, which acts as a trusted companion for eco-conscious living. We've also upgraded our product pages and published rich editorial content that explains not just which products we recommend, but why they meet our standards. These efforts are building customer trust, essential for long-term loyalty and further strengthening the Grove brand. Last week, we also released our '24-'25 sustainability report, outlining progress on key commitments around plastic, carbon, ingredient standards, forest health and equity. This report also highlights the partnerships and innovation fueling our long-term environmental and social goals, including the approval of science-based targets to reduce emissions. Lastly, when it comes to human health, our team has been working cross-functionally to develop new category level standards, making our vetting process even more transparent for customers through new certification requirements and expanded list of banned ingredients. Our strategy and mission remain our North Star, backed by a creative collaborative team that's solving hard problems with focus and resilience, I remain confident that we are on the right path. With that, I'll turn it over to Tom for a deeper dive into our financials. Tom, please go ahead.
Tom Siragusa: Thank you, Jeff. Unlike previous calls where we shared both quarter-over-quarter and year-over-year comparisons, we are now focusing primarily on year-over-year comparisons unless otherwise noted, as we shift our focus from sequential improvements to year-over-year improvements. Starting with the top line. Revenue for the first quarter was $43.5 million, down 18.7% year-over-year. This decline was primarily driven by lower repeat order volume, which reflects both a smaller active customer base and the temporary disruptions from our eCommerce platform transition. The reduced customer base is largely the result of lower advertising spend across 2024 and prior years, which in turn led to fewer new customer acquisitions in those years. And given that many of our customers placed multiple orders over time, this drop in acquisition impacted repeat order volume and revenue in the current period. This trend is consistent with our deliberate strategy to prioritize holistic P&L transformation and profitable growth amidst our turnaround, a strategy that continues to put near-term pressure on the top line. As Jeff previously mentioned, further contributing to the decline, we estimate the eCommerce platform transition contributed a $2 million to $3 million revenue headwind in the current quarter. Partially offsetting these pressures was higher revenue from new customer orders, supported by improved advertising efficiency and stronger first-order economics. These gains allowed us to responsibly increase customer acquisition spend in the quarter. Total orders for the quarter were 622,000, a decline of 20% year-over-year, primarily driven by a smaller base of active customers and short-term disruption during our eCommerce platform migration. Active customers totaled 678,000 at quarter end, down 16% compared to the prior year. Both declines reflect the lagging impact of reduced advertising spend throughout 2024 and earlier, which resulted in lower customer acquisition and retention leading into this year. DTC net revenue per order was $66.49, a 0.3% increase primarily driven by a change in order mix to include higher-priced items, especially as a result of our expanded third-party assortment. This was partially offset by the elimination of certain customer fees in 2024. Our gross margin was 53%, a decline of 260 basis points. The reduction reflects the absence of certain customer fees previously charged, along with a smaller benefit from the sell-through of previously reserved inventory. Turning to advertising. We invested $2.8 million in the quarter, a $0.8 million increase year-over-year. Despite the challenges presented by the platform migration, we leaned into channels that were delivering improved returns. Our investment was driven by improved new customer conversion and order economics resulted from improved messaging and new customer acquisition strategies. These gains allowed us to scale spend while maintaining healthy customer acquisition costs. Our focus remains on allocating spend to our highest performing channels while diversifying through new formats, including Connected TV and influencer campaigns in the coming quarters. Product development expense was $1.8 million, a decline of 50.9% year-over-year, reflecting our continued effort to streamline operations. This includes reductions in technology headcount following the platform migration and lower depreciation costs resulting from our legacy platform, which was fully depreciated for financial statement purposes in 2024. SG&A expense was $22 million, down 10.6% year-over-year. The reduction was driven by lower stock compensation, reduced depreciation and amortization and lower fulfillment costs from fewer orders. Notably, the first quarter of 2024 included a onetime $2.9 million gain from restructuring, primarily related to the amendment of our corporate headquarters lease, which did not repeat this year. Adjusted EBITDA was negative $1.6 million or a margin of negative 3.7% compared to positive $1.9 million or a 3.5% margin in the first quarter of 2024. This includes the flow-through of lower revenue in the quarter as well as the negative impact from the eCommerce platform transition. Operating cash flow was negative $6.9 million. This was primarily driven by an increase in working capital related to assets acquired in our recent acquisitions as well as negative net income, net of noncash expenses. Turning to the balance sheet. We ended the quarter with $13.5 million in cash, cash equivalents and restricted cash, down from $24.3 million in the fourth quarter. The reduction is primarily driven by negative operating cash flow and the asset acquisitions of Grab Green and 8Greens. We also ended the quarter with an inventory balance of $22.1 million, an increase of $2.7 million from Q4, largely due to inventory acquired through the Grab Green and 8Greens transactions. And lastly, as Jeff noted, we finalized an amendment to our asset-based loan facility subsequent to the end of the quarter. This amendment extends the maturity to April 2028, increases availability under the facility by removing the minimum liquidity covenant and includes other modifications, including amending the interest rate and certain other covenants. Full details can be found in our 8-K filing from May 9, 2025. Now turning to our outlook. For the 12-month period ending December 31, 2025, we are providing the following revised guidance. For revenue, we still expect Q1 to be our lowest revenue quarter of 2025 and going forward. Revenue is still expected to improve through the second and third quarters, leading to slight year-over-year growth in the fourth quarter. And we now expect full year 2025 revenue to decline approximately mid-single-digit to low double-digit percentage points year-over-year. Full year 2025 adjusted EBITDA is now expected to be negative low single-digit to positive low single-digit millions. This guidance includes our estimates of the full year impact of the eCommerce platform transition, including the first quarter impact as well as the projected ongoing effect throughout the remainder of the year from reduced order volume tied to customer attrition during the transition. The adjusted EBITDA outlook also incorporates the known tariff-related impact, inclusive of mitigation strategies currently underway. We have assumed we are able to offset most of the tariff impact through a combination of targeted pricing adjustments, supplier renegotiations and strategic sourcing shifts, if necessary. However, there remains some uncertainty around the duration and scope of trade policy changes, all of which could affect product costs and gross margin in future quarters if mitigation efforts fall short. I'll conclude by saying that it's never easy to revise our annual guidance so soon after initially providing it, and we share in that disappointment. However, we remain firmly committed to transparency, accountability and executing the strategy that will position Grove for long-term sustainable growth. While we're encouraged by recent improvements in new customer metrics, we recognize that these gains will take time to meaningfully impact our financial results. I would like to turn the call back over to Jeff for some closing remarks.
Jeff Yurcisin: Thank you, Tom. I want to emphasize that Q1 was our revenue trough and that we are guiding towards year-over-year growth in Q4. We're seeing green shoots across the business and know that our transformation is working. At Grove, we often talk to our customers about progress over perfection. The idea that meaningful impact comes from taking consistent steps forward despite it not being the idea we planned for. That mindset is one we fully embraced in our turnaround journey. Our focus remains on cumulative progress and long-term transformation. It starts with building the right customer experience and solving a unique customer problem, and this will drive revenue growth. We are making significant changes to Grove's business to help position us for lasting success, and that work is actively underway from removing our dated experience in early '24 to completing the migration of our eCommerce platform in early '25. We are rebuilding the foundation of Grove for greater resilience, scalability and growth. With that, we're happy to answer any questions you have. Operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Susan Anderson with Canaccord Genuity. Please proceed.
Susan Anderson: Hi, good evening. Thanks for taking my questions. I was wondering, I think you mentioned that marketing helped to drive some new customers to the platform. I'm just curious, have you been able to layer on some additional marketing yet? And where are you at now with your marketing as a percent of sales? And how should we think about it as well as we go throughout the rest of the year?
Jeff Yurcisin: Appreciate it. Thank you. Yes, Susan. So look, I think when we looked at our performance in Q1, we were happy with the progress until this platform transition. Now the platform transition, like we worked through some of those hiccups, we've gotten through most of the critical problems, but what has been inspiring and what we're seeing real green shoots on are these new customers. And in this kind of new migration, we've been able to create new landing pages, new offers that are more dynamic, and we are seeing strength every single day compared to our initial projections on the new customer front. We are not kind of disclosing right now new customer growth or specifics, but I will say that internally, we are really energized by the type of performance that we are seeing. You also asked what percent of spend did we invest in advertising. This year -- this quarter, we were at 6.4%. And again, what we are trying to do, we are now seeing the right type of returns, and we are trying to increase that over time because we are seeing better returns than we have in years on new customer acquisition.
Susan Anderson: Okay. Great. And then just really quick a follow-up on the platform transition. I guess, did you mention where you're at with that? Is it complete now? Do you think you're beyond those issues? Or how long should we think about it impacting the rest of the year?
Jeff Yurcisin: Great question. I think we are through the most challenging parts of this transition period. Now in any transition, you have a new customer experience that has its own nuances and impacts to the financials. But all impacts have been kind of baked into our revenue guidance that we just updated, and we are seeing progress week-over-week.
Susan Anderson: Okay. Great. And then maybe if I could just add one more, just how you're thinking about kind of the trajectory of sales for the third party and then your brands? As we kind of go throughout the rest of the year, should we think of it as just kind of like a steady improvement each quarter to get to that positive growth in fourth quarter? Or is it going to be more lumpy than that?
Jeff Yurcisin: I think, think of it as a little bit more steady. Obviously, we're guiding towards year-over-year growth in Q4. And you'll see sequentially a bit of a more steady type of growth pattern. In terms of own brands versus third-party brands, a few things have happened in the last few years, one of which is the customer experience now doesn't necessarily funnel customers towards our own brand product in the same way we once had with our set basket. And so given that context, own brands as a percentage of revenue continues to decrease. But it's less alarming than it would have been a few years ago because what we are finding is the right type of partnership with our third-party partners, and we are finding margins that are -- the gap in margin is not to be as significant as it was a few years ago. So as we see third-party sales capture a larger portion of our total sales, you still see stability on the gross margin line or at least on the contribution margin line.
Operator: There are no further questions. I would like to turn the conference back over to management for closing comments.
Jeff Yurcisin: Thank you very much. I appreciate you joining the call, and I hope you have a great evening. Thank you.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.